Operator: Good morning and welcome to the BancorpSouth Third Quarter 2021 Earnings Conference Call. All participants will be in a listen-only mode. . After today's presentation there will be an opportunity to ask questions. . Please note this event is being recorded. I'll now like to turn the conference over to Will Fisackerly, Executive Vice President and Director of Corporate Finance. Please go ahead.
Will Fisackerly: Good morning and thank you for being with us. I will begin by introducing the members of the senior management team participating today. We have Chairman and Chief Executive Officer, Dan Rollins; President and Chief Operating Officer, Chris Bagley; and Senior Executive Vice President and Chief Financial Officer, John Copeland. Before the discussion begins, I'll remind you of certain forward-looking statements that may be made regarding the company's future results or future financial performance. Actual results could differ materially from those indicated in these forward-looking statements due to a variety of factors and/or risks. Information concerning certain of these factors can be found in BancorpSouth's 2020 Annual Report on Form 10-K. Also during the call, certain non-GAAP financial measures may be discussed regarding the company's performance. If so, you can find the reconciliation of these measures in the company's third quarter 2021 earnings release. Our speakers will be referring to prepared slides during the discussion. You can find these slides by going to bancorpsouth.com and clicking on our Investor Relations page, where you'll find them on the link to our webcast, or you can view them at the Exhibit to the 8-K that we filed yesterday afternoon. These slides are also in the Presentations section of our Investor Relations website. And now, I'll turn to Dan Rollins for his comments on our financial results.
Dan Rollins: Good morning, everyone. Thank you for joining us today to discuss BancorpSouth's third quarter 2021 results. I'll begin by making a few remarks regarding the quarter. John will discuss the financial results and Chris will provide more color on credit quality and our other business development efforts. After we conclude our prepared comments, our executive management team will be happy to answer questions. Let's now turn to the slide presentation and spend a few minutes looking at our third quarter results. Slide 2 contains the legal reminders Will has already discussed. Before I get into the financial results for the quarter, I'd like to provide a brief update on our pending transaction with Cadence Bank, which is highlighted on Slide 3. As we previously announced, we have received all necessary regulatory approvals, and we look forward to closing the transaction before the end of this week. Both of our teams are very excited about our future together and are actively engaged in finalizing our merger and integration planning. As we have discussed in the past, our new combined leadership team has spent considerable time meeting and visiting with our teammates. Chris and I have enjoyed getting to know many of the Cadence bankers, and I know Paul, Hank, and Valerie have been spending time getting to know the BancorpSouth team. The five of us continue to meet daily to ensure we are aligned in our planning. I am personally extremely proud of the progress we have made since our merger announcement back in April. Hundreds upon hundreds of man hours have been invested into building the new Cadence Bank. I think we are all confident our teams are ready to execute and deliver the expected benefits of this merger. Slide 4 provides our highlights for the quarter. While we've known the results reported in the first half of the year weren't sustainable due to elevated PPP income, mortgage volume, and a number of other factors, we continue to be pleased with our core operating performance. Net income available to common shareholders for the third quarter was $70.4 million or $0.65 per diluted share. We had a positive MSR evaluation adjustment of $2 million and recorded merger-related expenses of $3.4 million during the quarter. Additionally, we had a $2.4 million charge under the pension accounting rules, to record a partial plan settlement resulting from elevated lump sum retirement payments that we incurred thus far in 2021. When adjusting for these items, we reported net operating income, excluding MSR of $73.3 million or $0.68 per diluted common share. PPNR which excludes the MSR adjustment and other non-operating items totaled $90.1 million or 1.29% of average assets on an annualized basis for the quarter. As we look at our business development efforts, which Chris will discuss more in a moment, we had another great quarter for deposit growth, reporting to total deposit and customer repo growth of over $720 million or 12.2% on an annualized basis for the quarter. While we are able to generate a nominal positive spread, the liquidity dynamics in the industry continued to be a drag on margin. From a loan perspective, excluding the PPP forgiveness payments received of approximately $135 million, we reported net organic growth of a $122 million or 3.3% for the quarter. This marks the second consecutive quarter of net organic loan growth. As we mentioned last quarter, the decision to sell most of our PPP portfolio has allowed our relationship managers to have a renewed focus on calling efforts and generating new business. Their success is clearly demonstrated in our result as the third quarter is our most successful quarter from a loan growth standpoint since prior to the pandemic. The economies across our footprint continue to rebound and perform quite well. As I said, Chris will provide a little bit more in just a moment. Our fee income businesses also had another great quarter. Our mortgage team produced almost $790 million in loans during the third quarter, which is a great quarter by historical standards. On the insurance side, we reported commission revenue of $35.8 million for the quarter, which is an increase of over 9% compared to the third quarter of 2020. Our insurance producers continued to win new business and the firmer premium market that the industry is experiencing. The next item I would like to touch on is credit quality, which continues to be one of the successes that our management team is most proud of. Our charge-off levels continue to remain very low, which is reflected in the fact that we reported net recoveries for the quarter of $2.1 million. This trend, combined with stability and other credit quality metrics, including non-performing and classified asset levels, resulted in a provision release of $7 million for the quarter. While this isn't a sustainable revenue source, it's nice to be able to report such positive credit quality as the economic recovery from the pandemic continues. The last couple of bullets I'd like to a touch on relate to capital management and deployment. We are pleased to have been able to take advantage of our share repurchase program to repurchase just over 1.7 million shares of stock during the third quarter at a weighted average price of $28.69. We paused our program at the first quarter of 2020 due to the economic uncertainty associated with the pandemic and had not been able to resume it until the Cadence merger shareholder vote was complete. We still have 4.3 million shares remaining in our current authorization, which expires at the end of the year. We've retained a significant portion of the capital we've generated over the last year-and-a-half, and our capital metrics remained at very strong levels, which is reflected in our total risk-based capital ratio of 14.27% as of September 30. I'll now turn the call to John and allow him to discuss our financial results. John?
John Copeland: Thanks, Dan. Slides 5 through 7 show our summary income statement as well as details of our non-interest revenue and expenses. I'll focus my comments this morning on our net interest margin, as well as a few other items that have variances compared to the second quarter of 2021. Before we begin, I will remind you that the two transactions that close May the 1st will impact the comparability of the information shown on these three slides. This is the first full quarter of financial impact for the May acquisition. You'll notice on Slide 5 that we reported a $1.3 million or 0.8% increase in net interest revenue compared to the first quarter. While we have been able to earn a small spread to protect net interest income dollars, the liquidity that dynamics that Dan mentioned continue to pressure our margin. Our net interest margin, excluding accretion was 2.81% for the third quarter, compared to 2.94% for the second quarter of 2021. The individual yield and rate components continue to remain fairly stable as the margin trends are almost exclusively a function of mixed shift resulting from the elevated deposit growth. Our security yields were very stable compared to the second quarter, while loan yields excluding accretion and PPP, and our total cost of deposits both declined 3 basis points respectively. We expect our funding costs to continue to decline as the total cost of time deposits remains considerably higher than our current new and renewed rates. Additionally, we will continue to work through the re-pricing of higher cost public fund deposits upon renewal. Slide 6 shows the breakout of our non-interest revenue components. There's really very little to cover here that's incremental to the comment Dan has already made regarding mortgage and insurance. We did see a nice increase of over 16% in our deposit service charge revenue from the quarter compared to the second quarter. Slide 7 provides the details around our non-interest expense. Dan mentioned the two items that we classify as non-operating merger expense of $3.4 million as well as the pension settlement charge of $2.4 million. Similar to the fourth quarter of 2020 this charge was a result of elevated lump sum retirement payments, exceeding the threshold for partial plan settlement. Beyond these items I believe salaries and benefits, which increased $4.8 million quarter-over-quarter is the only other significant item that warrants additional color. There are several factors contributing to this increase. The additional months' worth of activity associated with the two mergers was one contributing factor. Beyond that the primary driver was their annual compensation adjustments, which were effective on July 1st. Finally, we continued to see significant wage pressure across the board both geographically and across all job functions. That concludes my comments on the financials. Chris will now provide some color on our business development activities. Chris?
Chris Bagley: Thank you, John, and good morning, everyone. Slide 8 of the presentation reflects our funding mix and deposit trends for the quarter. We reported total organic deposit growth of $722 million or just over 12% annualized. Clearly the bank and the industry as a whole continues to experience unprecedented liquidity. Our focus remains on protecting relationships and managing deposit cost down. As John mentioned there's still opportunity to continue that trend. An example, our total time deposit cost for the quarter was just over 90 basis points, while our new and renewed rates today are well below that mark. As I've mentioned before, we also have an opportunity to draw public fund costs down further, but that will be somewhat lumpy as they mature and re-price at various times. Moving to Slide 9, you will see similar trend data for our loan portfolio. We received PPP forgiveness for payments in the quarter of $135 million. When you adjust for this net organic loan growth for the quarter was just over $121 million or 3.3% on an annualized basis. As Dan mentioned, this is the second consecutive quarter of net organic loan growth that we've experienced. After the PPP adjustment, we saw meaningful growth in our C&I non-real estate, commercial real estate, and consumer mortgage portfolios. From a geographical perspective, most of the growth opportunity during the quarter was in our Texas and Tennessee markets. Additionally, our corporate C&I and syndications team had a great quarter from a loan growth perspective. Moving to Slide 10, credit quality continues to be a good story for us. We reported net recoveries for the second consecutive quarter. Net recoveries of $2.1 million combined with declines in our classified asset levels contributed to a provisional lease of $7 million for the quarter. Our reserve coverage ended the quarter at 1.74% excluding PPP loans. Finally, as shown on Slide 11, we continue to monitor the lingering impact of credit decisions we made to assist customers during the early part of the pandemic. Our loan totals that are either in deferral or that have been temporarily converted to interest-only continued to decline quarter after quarter. As of 9/30, we had $26 million in deferral and $91 million in interest-only and all are scheduled to return to regular payment schedule over the next few months. In our view, this is really a non-story at this point in the cycle. Unless there's a change in the economic trends, we expect this to be the last quarter that we will provide this particular disclosure. Slide 12 provides a five quarter look at our results for insurance and mortgage products. Mortgage reported origination volume of $790 million for the quarter, 65% which was purchase money. While the slight decline in the pipeline resulted in margins being a little below what we would call a more normal or average level, these results are strong by historical seasonal standards. Refinance activity has slowed as expected, but the housing market remains strong across our footprint. The anecdotal examples around multiple quick offers without asking products on e-listings have extended into our smaller markets as well. Historically, that type of demand is seen primarily in our more urban geographies. Moving to insurance. Total commission revenue for the quarter was $35.8 million, which marks the second consecutive quarter that we reported near double-digit revenue growth on a percentage basis when compared to the comparable quarter for the prior year. A very high customer retention rate in the business success and continued firm grade market has combined to result in a very nice revenue growth for the insurance team. Now I'll turn it back over to Dan for his concluding remarks.
Dan Rollins: Thanks, Chris. It's a really exciting time for us and it's taken everyone working together to make the results that we reported possible. The effort of our relationship managers are evident in the results reflected on both sides of the balance sheet. All of our key lines of business, mortgage, insurance and wealth management are performing very well and making meaningful contributions to our performance. And perhaps most importantly, our credit quality metrics are very strong by any standard. This is a direct testament, not only to the efforts of our relationship managers, but also the quality of our underwriting and risk management processes. Finally, the optimism around our company is at an all-time high, as we expect to close our merger with Cadence later this week to create the new Cadence Bank. The operational support teams for both our bank and Cadence have been working around the clock to prepare for the upcoming legal closing and to begin executing on our integration processes. In fact, here with us today is Paul Murphy, Valerie Toalson, and Hank Holmes. Operator, our team is now ready to answer any questions.
Operator: We will now begin the question-and-answer session. . Our first question comes from Brett Rabatin of Hovde Group. You may go ahead.
Brett Rabatin: Hey, good morning, everyone.
Dan Rollins: Hey, Brett, good to hear from you.
Brett Rabatin: Wanted to first ask, when I look at the organic growth for BancorpSouth $122 million and $76 million for Cadence in the quarter, obviously one of the big things with this deal is that Cadence brings to BancorpSouth a much stronger commercial effort and gets you guys years ahead of where you would have been. Can you maybe give us an update on how you think about the pipeline from here and maybe growth expectations and how you do that?
Dan Rollins: Sure. I'll take a stab and I've got plenty of people here that can help on that. Thanks, Brett. When you're looking at $122 million for us that was heavily weighted into the C&I side. You don't see it, because the $135 million that went away from PPP came out of the C&I side, but C&I continues to perform well. We saw an increase in CRE. Our pipelines are really looking good. Chris, do you want to tag in on the pipeline and Hank can talk about what's happening at Cadence.
Chris Bagley: Yes. I'll just add that the Dan mentioned it; our organic growth meant that PPP was more heavily weighted towards C&I about 60% of that growth and our pipelines look good. I think we're saying we're getting a look at quite a few opportunities in -- all across the geographies and all the different business lines. Hank, what are you guys seeing?
Hank Holmes: Yes, thanks, Chris, and Brett appreciate the question. And I'm excited about being on the call with our BancorpSouth Bank. And I would add to that we were seeing nice volumes in our loan committee that we haven't seen in quite some time. I'd also like to report that it's really across the board. There was no real geographic concentration or specialized concentration and the timing that it takes to close on C&I transactions a little longer. So we're optimistic of seeing that growth through the end of the year and into next year. We also have a strong CRE portfolio that performed quite well during COVID and is trending in the same direction this year like they're going to do better this year than they did last time. And given their construction loans, we'll see some nice volumes and advances out of that crew as well. So overall from a pipeline perspective, and as we review those, they are steady. I would echo Chris's comments and we're getting a lot of good looks. Really the only headwind there is we are seeing some pricing pressure, but optimistic about the growth going forward.
Dan Rollins: And when you look at our earnings announcement, our being the BXS side, I guess there's two earnings announcements to look at. When you look at the BXS earnings announcement we breakout the five states and you can see Texas had the best growth we've had and many, many quarters we grew a little over 15% in Texas in the quarter. And then while we're brand new in Georgia in the last two quarters, our Georgia, Tennessee footprint also had a little less than 10% growth. When you look at the going forward and the pickup of the Atlanta market, the Tampa and Orlando markets and Florida, I think we feel pretty good about what's happening and Texas has been positive for us and the Cadence team for a long time. So I think looking forward, we feel pretty good, Brett.
Brett Rabatin: Dan, would you care to take a stab at thinking about an outlook for loan growth on a percent basis? Or is it just too early to take a stab at that?
Dan Rollins: Yes. I think the Cadence story, we'll talk about a percent I think, but I think that as we been around, you heard me say a few minutes ago, we've all been making the rounds. We've been all over our footprint, talking to the relationship managers that are out there, and there's a lot of excitement around opportunities for us to do more for our customers than we've done in the past. So I think the footprint's open, but when you're looking at our footprint from an economic standpoint, the markets are performing well. We're open businesses for being transacted. So I think there's opportunity for us.
Brett Rabatin: Okay. Appreciate the color there. And then, the other question I had was just around the liquidity looks like you guys bought about $1 billion in securities this quarter, and obviously Cadence has a even more liquid balance sheet than you guys do. Can you talk maybe about purchases from here, what you bought in the quarter and what you might do with the liquidity from the Cadence side of the equation?
Dan Rollins: Liquidity, liquidity is not our problem right now. We have plenty of that. Valerie, you want to jump in on that side?
Valerie Toalson: Yes, sure. Thanks. So, yes, obviously both banks have had significant liquidity and the BancorpSouth Group has been more active in buying securities. And we have I think that you'll see us one of the things that we've been doing is eager to get our banks merged. And so post-merger be able to do a number of things from the balance sheet that we've been holding off on doing so far. So we've got both balance sheets put together in our outcome modeling and we're looking at the different scenarios as we go-forward. But obviously with our strong capital, with our strong liquidity, we're well-positioned to be able to put some of that liquidity to work in a variety of different ways.
Dan Rollins: John, the specific was what are we buying?
John Copeland: Yes. We were buying variable rate mortgage backs, and that's one of the reasons you see the big unrealized loss in AOCI change from quarter-to-quarter. So that's mostly what we're buying right now.
Dan Rollins: That helps you, Brett?
Brett Rabatin: That's helpful. Thank you so much.
Dan Rollins: All right. Appreciate your time.
Operator: Our next question comes from Michael Rose with Raymond James. You may go ahead.
Michael Rose: Hey everyone thanks for taking my questions. I just wanted to start on Slide 3. So when I look at the metrics, they're all the same except for the asset size of $48 billion relative to the original slide deck. And I'm just wondering what the environment having improved and some pretty good growth out of both sides. Why wouldn't those numbers be higher? Are they just not updated? We'd just love some updates on kind of what the -- maybe some of the closing merger assumptions could be versus where they were back in April. Thanks.
Dan Rollins: That's what the team's working really hard to be ready for the closing that's coming up in a few days. The only number that was updated on this slide and you read the footnotes was the asset size. So when you're looking at the other boxes that's still looking at -- at announcement numbers. And we haven't put out any new numbers on what we look like on a combined basis. The mark-to-market accounting team is working hard. The accounting team is working hard. There's a lot of activity going on behind that. Valerie, I'll let you jump in here again.
Valerie Toalson: Yes, no, you're exactly right. Those are all numbers that we'll be updating as of the close. And so while there's a lot of work going on to prepare for that and a lot of analysis and a lot of trends and so forth, not quite ready for prime time.
Michael Rose: Is it fair to characterize it though, as the environment has improved and that those numbers could ultimately prove to be conservative. Is that the way we should all be thinking about it?
Dan Rollins: I think some things have certainly improved. The interest rate environment and the margin environment, hasn't improved for us. But I think when you're looking at what we've got from the opportunity to grow going back to April; I think there was a lot more fear in the market on the look forward economic activity in April. We've talked about the mark coming down. We knew we were taking a pretty hard mark in April. But as you look back, the markets are all improved since then. Both of us had a reserve releases in the last quarter. So from a economy standpoint and a credit quality standpoint, we know we've got an improving situation. From a -- where we're going with the deposits that are flowing in and the liquidity we can't seem to turn them off and both of us had tremendous deposit growth in the quarter. And so that continues to damage our net interest margin.
Michael Rose: Understood. That's all I had. Thanks for taking my questions.
Dan Rollins: Thanks, Michael. Appreciate your time.
Operator: Our next question comes from Jennifer Demba from Truist Securities. You may not go ahead.
Jennifer Demba: Dan, I'm just wondering what your share repurchase appetite looks like over the near-term. You've got like over 4 million shares left on the authorization.
Dan Rollins: Yes. I think that we want to be, we have excess capital. So I think we want to be opportunistic as we've done it, done in the past. I think we'll be looking for the opportunities to deploy that capital and should the opportunity arise this quarter. I would expect that we would be back in that market. Anybody wants to add onto that in here, Paul or Valerie. Thanks.
Valerie Toalson: Yes, absolutely. In addition to what you saw BancorpSouth acquired during the third quarter, Cadence also acquired 2.4 million shares and so we've both been active in the markets when the markets are right worth.
Dan Rollins: So combined, it was right at a $100 million in total repurchases in the quarter.
Valerie Toalson: Yes, meaningful.
Jennifer Demba: Dan, can you also talk about your technology investment priorities over the near-term and where you really want to place emphasis over the next 12 months or so?
Dan Rollins: Yes. The tech teams have really been working hard to try and make sure that we understand where we are. So the process we've gone through was to identify current state. What are we both doing today? What processes are we driving today? What technology are we driving? What's customer-facing? And then also what's inside the bank for our teammates to be driving off of. And then we've identified what we want to be in a future state. And so now we've got to build our roadmap to get us from current state to future state. And that process is starting now. So by the end of the week that process, we'll begin executing on those plans. We'll spend a big part of 2022 consolidating the two teams together, but that'll be coming in stages and in steps. We think that our mortgage teams will be all on one platform before the end of this year. We think that we have a couple of other groups that will be converting over or operating all on one platform in 1Q and 2Q next year. And the final phase of the big computer conversion will be later in 2022. But when you're looking at future investments, clearly, it's -- what's the consumer doing and what's the commercial customer doing. So when we're looking at our treasury management products and app features around treasury management, that's a key product that's out there for us. And you're looking at the consumer side and making sure that we've got the consumer app in place, we both of us have been in the process of deploying IPMs or interactive teller machines, video teller machines that's working well for us and helps us reduce costs in the branches. So there's a lot of activity going on that front. Although I don't have any one specific item that I would callout. Paul, you're close to that.
Paul Murphy: Well, I mean, it was a good summary. Jennifer and I, we've talked about some of these things on prior calls, but we are pleased that the more we look at the combined organizations it's really -- it's a slogan, but it's really true. We are better together. So we look at, for example, our digital initiative, which is substantial and has some traction. And so BancorpSouth has a similar initiative they're focusing on, some things if we weren't to look at a robotic process automation initiative that they have, we have. We're just going to go further faster together because we're going to have more resources. We will be able to do some early conversion of the mortgage business. For example, it got to be probably fourth quarter. So as Dan mentioned, those longer-term process for the conversion next fall, the big conversion is on track. But it is one of the more exciting things about putting two companies together is how you can do more things faster. And some of the things that or clearly the right steps for us you can get to a much quicker when you have more resources.
Jennifer Demba: Thank you.
Dan Rollins: All right. Thank you, Jenny. Good to hear from you. We hope to ask for us to do really well this week.
Operator: Our next question comes from Kevin Fitzsimmons from D.A. Davidson. You may now go ahead.
Kevin Fitzsimmons: Just a question on expenses, I know pulling the non-operating items out which I did, we still saw expenses pickup linked quarter. And I know there was reference to; I believe personnel expenses being up partly due to the team's working on the merger activity. So I'm just trying to drill down and say, is any of that expense load in third quarter was it – would you call it, maybe you didn't identified as non-core, but would you call it non-run rate or pulling forward some of the expenses related to the deal or on a combined basis that that might make that expense base a little inflated versus what we should model in going forward?
Dan Rollins: Well, there may be a little of that. So when you look at the salary and benefit costs specifically, remember we only had two months of the last acquisitions in the last quarter. We had a full three months of those two acquisitions at the third quarter. So there's part of the increase. John mentioned our annual salary process and review is of July 1 effective time. So that's another piece of that puzzle that's got an impact on it. And then, we continue to experience wage inflation. So the folks that want to talk about transitory inflation, I don't have an opinion on that. But I can tell you from a wage pressure, there is wage pressure out there today we're seeing that and we're feeling that. I think that your question specifically is around; did we have some wage costs in there that may not be future run, right? My answer is probably a little bit. But I don't know that, I would be able to identify that kind of number. We continue to watch expenses closely and I do think we have the ability to continue to drive expenses down as a standalone entity. You obviously, when you put us together, it's a little different and we should be able to start seeing some benefit of some of that. We'll see some cost saves coming out of the gate, I don't think that we can turn off the media, but it'll take a while to turn the investment. Valerie, you want to add on?
Valerie Toalson: No, I think you said it well. As we look at our expense savings, we think, we're starting to layer in into 2022 planning. But obviously, as we announced the acquisition date most of that or the full impact of that will be 2023. But we are absolutely working to get as much of that in as soon as we can.
Dan Rollins: John, would you identify anything specific that was in 3Q that's tied to run rate?
John Copeland: No. No, I think, it's pretty much all run rate. Yes. And as we -- as Valerie mentioned, we're in the budget process for 2022, that's really the first big step in identifying cost saves that'll be achieved later on down the road.
Dan Rollins: I hope you got them, Kevin.
Kevin Fitzsimmons: Okay. Yes. No, I appreciate that. That's very helpful. Just one other quick one for me earlier, I believe Valerie had mentioned that there were some balance sheet movements that you all were, you want to get past closing obviously and if you were holding back doing, can you give us some examples of what kind of things those are that you could do, but you're holding back doing until you get past the close? Thanks.
Dan Rollins: Holding liquidity would be one. So we don't end up in a mark-to-market. Go ahead, Valerie.
Valerie Toalson: Yes. That's exactly right. One of the things we wanted to do was do the modeling, get our balance sheets combined on asset liability modeling, which we have together now to evaluate our portfolios together, to evaluate our overall balance sheet, asset sensitivity together and then strategize on how to deploy some of this liquidity. As you know, there is value obviously and going through that, but do it at the right way is something that we pay a lot of attention to because of the impact of where we are on the rates -- on the rate curves and the impact to those portfolios when the rate curve starts to increase. So we're spending a lot of strategic time on that and you'll start to see us talk about that a little bit more as we're combined company in the very near term.
Operator: Our next question comes from Catherine Mealor from KBW. You may now go ahead.
Catherine Mealor: I just wanted to follow-up on Michael Rose's question, just on looking at the Slide 3 and the pro forma, EPS accretion and tangible book value accretion also that when I see from the deal and totally appreciate that that's been updated, but is there anything that we should, I guess, is there anything to be aware of that would be a negative to either better EPS accretion or tangible book value accretion with this deal? Because I think the way, I would think about it is, if credits are lot better, so the mark should be lower and also the balance sheets are bigger. And so this -- the liquidity is of course impacting the margin, but still the balance sheets are bigger because of all the liquidity. And so that coming together, I would imagine, should bring EPS accretion better as well. So just kind of any headwinds that we should be aware of that wouldn't allow us to think that EPS accretion should actually look a lot better today than maybe it was when the deal was announced?
Dan Rollins: I think those are -- I think that assumption is right, a bigger balance sheet and better credit quality. I think we have agreed all along, but if credit marks move down, the net positive to tangible book value and obviously we're saying that happened, we don't know the numbers at this point, but it'll be different than what we had announced back in April. And again, to me, the biggest negative is, as we continue bring deposits in. And it's been we're making very few basis points on the deposits that we're bringing in. We've got to be able to deploy that. So you're back to the operability to grow loan, so if the economy continues to improve and the footprint that we're sitting in, we can feel pretty good about the opportunities in front of us. Valerie?
Valerie Toalson: I think you said it well. And I think definitely, they held it in the past that there are a lot of positives and the fact that we are bigger, balance sheet is better, but it's all about deploying that excess liquidity. And that'll be stuff and obviously that will be less inductive.
Dan Rollins: So the two biggest markets that we're in or I should say this, credit markets have the biggest presence for us from a loan perspective is Atlanta and Houston. So I thought you were going to talk about the  and  for us, but both of those markets look pretty strong, from a growth perspective.
Paul Murphy: I thought I'll just chime in here. Think about historical Cadence operating results, PPNR attracted top quartile maybe a little better efficiency ratio, I mean last quarter, it's 56%, but we are an efficient model and attractive earnings organization, and it's going to merge in well and nicely with BXS.
Catherine Mealor: All right. Yes. No, I'm not going to be wishing you well tonight Dan. Feel brave tonight. My other question maybe is just on the expense side; totally understand this is probably a good full quarter to look at. Maybe as we think about the timing of cost savings. I think last, you've said the conversion was slated for late 2022. So could you give us any kind of thoughts on what level of cost savings we could see upfront before we get to conversion, and then the timing when we'll kind of see a full quarter run rate of pro forma cost savings fully in the numbers?
Dan Rollins: Yes, I think you see a full run rate in 1Q 2023. So I think you've got a long way to go to see a full run rate. But I think you'll see cost saves stepping in and coming out of the gate. And there are certainly things that we will be able to turn off on Friday that will be less expensed than what we're combined spending today. I don't know that we have a run rate analysis that would tell you what we're going to see in 4Q, 1Q, 2Q, 3Q next year. But I think it will continue to ramp up as we do exactly what Paul was talking about a minute ago, where we start moving some things together. Every time we can consolidate, or combine or convert whatever language you want to use the different parts of the bank that we're putting together, all of that turns into cost savings for us.
Operator: Our next question comes from Jon Arfstrom of RBC Capital Markets. You may now go ahead.
Jon Arfstrom: A couple questions here. Most of its been handled, but in terms of lending at both companies safe to say that the growth that you're seeing is a trend and pipelines are improving. Is that a fair characterization?
Dan Rollins: I'll let Hank and Chris jump in here on that one.
Hank Holmes: Yes, very fair.
Chris Bagley: Affirmative, I agree with that as well.
Jon Arfstrom: Okay.
Dan Rollins: You want more color.
Jon Arfstrom: I like that kind of an answer. Also, just question on lending appetite once the merger is done, any changes to the approach as credit and risk come together for the two companies?
Chris Bagley: Jon, I think, well changes in that we're better together, as Paul said earlier so. And much, almost everywhere we look including credit and opportunities, we're just very synergistic. They've got some expertise in business lines that we don't have. And we have some that they don't have. They fit together very well, that gives us more opportunity to grow revenue in different channels at different times. And we put the two balance sheets together from a loan perspective. I think we impact the concentration levels that both banks were dealing with in certain segments in a positive way before they -- we de-risk from that concentration perspective. That's a plus, that gives you more fuel, in each one of those lines to kind of drive some additional business opportunities. And we're bigger. So you would expect that you would be able to even take care of some of your existing customers in a larger fashion. So I think those are all positives. We've spent a lot of time together from a credit perspective, putting our loan policies together. I can tell you from the BXS side, we're very excited. We have full and we have very good strong confidence in the credit side of the Cadence side of the house. It's been very, very productive and positive journey putting loan policies together. We feel good about where are our underwriting parameters and views on the types of credits we want to do going forward. And so I think it's just very positive. Hank, do you want any?
Hank Holmes: Well, the only thing I would add to that is that I think Chris said it well was the BancorpSouth team was doing what was getting going and doing what we like to do on the C&I side. And so, I think this is an acceleration of that and building on that team brings us together. I also believe that on our community bank, there's some opportunity there to do a little more than we -- what we have done historically at Cadence bank. And I know our teams are excited about that as well. So I think Chris said it well, and I'd those are the things I'd add.
Dan Rollins: We're just a few days by Jon from the we and the they coming into the we.
Jon Arfstrom: Thank you.
Paul Murphy: Jon, one of the -- I know, you know us both well, but one of the good things about our situation, just a reminder is that there's very little market overlap. So really, all of our bankers over down let's go back and Paul we've got a bigger balance sheet. We have our first joint board committee meeting coming up this week. And so we'll be making final decisions on what exactly hold limits we're going to have, but we're just going to inch out a little bit. We're really not going to make a big move on increasing hold limits, but we will be able to lead some bigger transactions. So that will help. But again, the market opportunity for us to really just double down on the calling effort is right before us.
Jon Arfstrom: Okay. You all may have just answered this, but, anything else Dan you'd want to callout on revenue synergies that maybe you've discovered since the April announcement as you get familiar with each other.
Dan Rollins: I don't know that there's anything new that we would callout, but the same excitement that we've been talking about all along is there. Our insurance team is just chomping it the bid to get out, insurance revenues are growing today. We know we've already want some new business in this quarter. We think that the ability to partner up with the Cadence bankers and soon to be the Cadence insurance team is exciting, the mortgage team, as we've talked about before. Cadence doesn't have a big mortgage presence in the Georgia or Florida footprint. And we're actively recruiting in those markets. So there's fairly opportunities we just need to execute and keep moving forward.
Operator: . Our next question comes from Matt Olney from Stephens, You may now go ahead.
Matt Olney: Thanks. Good morning. I wanted to go back to operating expenses and I guess that Valerie on the Cadence side kind of the same question about the third quarter expenses anything unusual. I think you callout the merger expenses and then another settlement get this to a core run rate around $103 million in the third quarter. Anything else you'd callout that's unusual, that wouldn't be in the run rate from here?
Valerie Toalson: Yes. Thanks, Matt. The only other factor that I would say is a little bit unusual is a little bit higher incentive accruals. As we look through the year and obviously the excellent credit results that we've had throughout this year impacts the overall incentive accruals. And so we factor that in and that definitely plays into what you see really as part of some of the increase there in the salaries and employee benefits line. Other than that it's really captured for the most part in the merger expenses and then obviously the regulatory fees as well.
Matt Olney: Got it. Okay. That's helpful, Valerie. And then I guess changing topics, I want to ask more about interest rate sensitivity of the combined bank. It seems like there's some nice upside to higher rates for each bank by itself. Can you speak to the bank sensitivity to higher rates and then maybe just thoughts on the combined company? Thanks.
Dan Rollins: Okay. Can you tell us when rates are going to be higher first?
Matt Olney: I'm going to guess a year from now, Dan, but my guess isn't worth a whole lot.
Dan Rollins: Okay. Yes, that that's all helpful. I do think we're excited about the sensitivity. Valerie you've got the specific numbers we've been modeling the combined entity for some time. Go ahead, Valerie.
Valerie Toalson: Yes. Sure. So when you take the two banks combined, it actually increases BancorpSouth asset sensitivity, it decreases Cadence Bank sensitivity probably about around half. So we'll be a little positive over neutral. That being said, that is with the existing balance sheet as we leverage some of the additional liquidity into loans. The largest portion that both banks are seeing in our loan growth is in C&I lending. And so that will continue to push the asset sensitivity higher. On the Cadence side, we've got about two-thirds of our loan growth that's coming in today is actually C&I driven. And so all of that will certainly help as we start to increase rates. Both banks do have a number of loans on their floors, and so the very first rate movement or so will be muted by that. But once you get along past the first one, you'll start to see more and more positive impact from that. We also believe that where our deposits are positioned, we both have significant non-interest bearing deposit levels and where our CD fixed have re-priced that will also be able to appropriately lag those raising deposit costs along with the industry that will certainly help see that benefit. When -- when and if we start to see some of those rates.
Dan Rollins: I think on the BancorpSouth side of the aisle that we've still got downward movement in deposit cost. Cadence has got really good deposit cost and not seen the big drops that we've seen. But we still have the ability to walk down our deposit cost. We're still planning on the same 3 or 4 or 5 basis points a quarter for some time.
Matt Olney: Yes. Okay. And Dan, a last point, as far as downward pressure on deposit cost I think you also mentioned some pressure on overall core loan yields. Do you think that you can manage deposit costs lower in line with those lower deposit -- lower loan yields? Do you think give you the opposite.
Dan Rollins: Yes. I don't know that I have an answer for that with any conviction. I think clearly loans are competitive and the market is very competitive out there today. Everybody wants to be growing loans. There are some folks that will price to buy credits. There are some folks that maybe searching more on terms. I don't know if we moving a term at all, they're certainly trying to make sure that we're protecting good customers. Sometimes when you're protecting good customers that means you're getting up on some price. So I think that's a hard question today. What the deposit cost will do is, is benefit us in some way. I would hope that we could keep up as you just mentioned, but I don't know that we have any modeling that will tell us whether we can or cannot.
Valerie Toalson: I think that as you take a look at the pace of the deposit cost, it'll be a little bit more gradual. And on the loan yield, it's going to depend on the volume. If we get back to some pretty meaningful net originations volumes, those lower yields are going to have an impact on those loan yields. That being said, it's going to be significantly better than the yield of cash for investment.
Dan Rollins: And also from BancorpSouth side, I'll add we're putting on the balance sheet drives that quarterly loan yields. And so while we've been growing big and the C&I side, if there's opportunity to grow on the bank side, that Hank was talking about on the real estate side, that will move that field up a little bit. But you just don't know where you're going to get growth from quarter-to-quarter.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Dan Rollins for any closing remarks.
Dan Rollins: All right. Thank you all for participating today. As you can hear, I think you can hear clearly that we're really excited about what the future looks like for us as a combined company. We're excited to start the new Cadence in place on Friday. Thank you all very much for your time today. Look forward to catching up with you again soon.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.